Operator: Good day, ladies and gentlemen, and welcome to the flyExclusive Third Quarter 2024 Earnings Call. Our host for today’s call is Sloan Bohlen, Investor Relations. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. I would like to now turn the call over to your host, Mr. Bohlen, you may begin.
Sloan Bohlen: Thank you, Morgan. Good afternoon, and thank you for joining flyExclusive’s third quarter 2024 earnings conference call. Joining me on the call today is Jim Segrave, flyExclusive’s Founder and Chief Executive Officer; and Brad Garner, our Chief Financial Officer. We announced Q3 results after the market closed today along with the filing of our Form 10-Q for the quarter ended September 30, 2024. We will be providing certain non-GAAP information during today's discussion. Important disclosures about this information and a reconciliation of the non-GAAP information to comparable GAAP information is included in our Form 10-Q filed with the SEC and available on our Investor Relations website. In addition, this discussion might include forward-looking statements. Actual results might differ materially from any number of reasons, including the risk factors described in our Annual Report on Form 10-K, in our quarterly reports on Form 10-Q, and in the press release covering forward-looking statements. Rather than rereading this information, we're going to incorporate it by reference into our prepared remarks. And with that, let me turn the call over to Jim.
Jim Segrave: Thank you, Sloan, and thanks to everyone for joining us today. I'll begin by providing an overview of the private aviation landscape as it relates to flyExclusive’s and an update on our operations, followed by a preview of our expectations for Q4, traditionally our busiest season. Next, I will cover our ongoing fleet refresh, which has already shown immediate margin improvements and positions flyExclusive for even greater long-term success. Lastly, I will discuss our recently announced agreement with Volato and how it complements our strategic vision. This has been a very busy and productive quarter and I want to take a moment to recognize the entire flyExclusive team for their hard work and dedication. At the start of the year, we already had what I believe to be the best operating model in private aviation. However, we have faced many challenges during this transformational period. I am proud to report significant progress over the first three quarters, progress that is most importantly reflected in our rapidly improving financial performance. If we continue the same trajectory we have over the first three quarters of 2024 as expected, we will attain positive adjusted EBITDA profit in early 2025. We have made substantial strides including eliminating over half of our non-performing aircraft, restructuring our management team, nearly eliminating reliance on outside consulting services to support public company reporting, enhancing our fleet, taking over Volato’s flight operations and customers, expanding our club and fractional customer base and optimizing internal operations. Our revenue for the third quarter totaled approximately $77 million, up 24% compared to the same period last year. This growth was driven in large part by a 20% expansion of our membership base, which now boasts well over 1,000 members. As we continue refreshing our fleet by selling non-performing aircraft, the total number of planes on our certificate has declined to 88 from 100 a year ago. However, we are effectively still operating around 100 aircraft since we are managing Volato’s fleet currently on their certificate. These Volato aircraft will be transferred to the flyExclusive certificate in the coming months and we will continue adding Challengers, CJ3s, and XLSs. The CJ3 and XLS fleets have also been strong performers and remain part of our go forward strategy. For aircraft on flyExclusive certificate, excluding the Volato aircraft, we saw total flight hours and hours per aircraft increase by 49% and 35% respectively year-to-date. This achievement is even more impressive given that we eliminated the Guaranteed Revenue Program, GRP, activity in 2023, which accounted for over $66 million of revenue in the first half of 2023 and zero the second half. I am incredibly proud of our team for replacing this business and continuing to grow our total flight hours in the face of that challenge. flyExclusive achieved a remarkable 122% growth in flight hours since 2019. This marks the highest increase among the top four operators in the private aviation sector according to a recent report published by Jefferies. Year-over-year, flyExclusive was the second fastest growing company, trailing Flexjet by just 1% in growth over the past 12 months. All of this has been driven by strong and stable demand in our club and fractional lines of business that we expect to continue in the future. Our gross margins have shown significant improvement, increasing from approximately 8% in the first two quarters of 2024 to over 12% in the third quarter. We expect this trend to continue this quarter and in 2025. The primary driver of margin improvement has been the removal of non-performing aircraft with high operating costs and downtime replaced by more economical, reliable and, therefore, profitable aircraft. Brad will detail this margin trend or how this margin trend has impacted our EBITDA and free cash flow, but for now, I will focus on our SG&A, overall debt, and the ongoing fleet refresh. We have made notable progress improving our SG&A efficiency. SG&A expenses as a percentage of revenue decreased from 31% of revenue in the first quarter to 26% in the third quarter, a reduction of over $5 million. Total debt, trade and long-term was reduced by $29 million in the third quarter. As we complete our fleet refresh early in 2025, we expect continued improvement. We view 2024 as a transition year during which we aim to eliminate 37 older non-performing aircraft, replacing them mainly with Challenger 350. We have already sold 19 of these aircraft and expect to have fewer than 12 remaining by year-end. The drag on our EBITDA from these aircraft, which peaked at over $3.5 million per month early in 2024 has been reduced to under $1 million per month today and should be eliminated in 2025 as we complete the refresh. Through the third quarter, we have taken delivery of three new Challengers with the fourth set to arrive in Q4. We expect our pace of Challenger additions will accelerate in 2025 with each aircraft bringing a substantial boost to profitability. Looking ahead to 2025, we are excited to leverage our momentum and drive further improvements in profitability and scale. We expect to generate positive cash flow in Q4 2024 and achieve positive adjusted EBITDA early in 2025. Each Challenger added to our fleet is projected to generate over $8 million in annual revenue at attractive margin compared to the average $1 million annual EBITDA drag from each of the 37 non-performing aircraft in 2024. Turning to our Fractional share sales, the end of the calendar year is typically the highest activity period for transactions driven by tax planning and year-end budgeting. We have a strong sales pipeline and expect a robust quarter. In Q4 of 2023, our first year and quarter in the fractional business, we sold 43 shares. Today, we have nearly 200 fractional share members in our program and expect to grow that significantly over the rest of Q4. In early September, we announced our agreement to provide aircraft management services to Volato and their customers. To clarify, this was not an acquisition of Volato but a strategic opportunity to acquire their customer base without purchasing the company. To date, we have added 178 Volato Insider members to our Jet Club program. All fractional aircraft and members are now managed by flyExclusive and these aircraft are being added to the flyExclusive certificate. Customers have signed new agreements becoming direct flyExclusive clients. The value of our platform and integration coupled with our highest service standards has benefited both Volato customers and our shareholders adding approximately $600,000 to our bottom line in the first month of operations. Under this agreement, flyExclusive now manages Volato’s fleet consisting of 10 fractional aircraft and two leased aircraft. Volato’s customers now enjoy the advantages of our significantly larger fleet, our vertically integrated service model and enhanced reliability. Furthermore, we have seamlessly handled the added volume with 175 fewer employees than Volato previously required, thanks to our efficient infrastructure. This represents an impressive 80% reduction in the staffing needed to meet their flight demand. The Volato agreement highlights our ability to provide customized high value solutions for private aviation customers, specifically in the fractional and club member markets. In closing, I think we have clearly demonstrated the strength of the flyExclusive operating model. Despite significant challenges over the past 18 months including taking the company public, enhancing our leadership team and refreshing our fleet by replacing non-performing aircraft, we have continued to grow and improve the business month-after-month. The progress we have made in 2024 has positioned us for sustained success in 2025 benefiting our shareholders, customers, and employees. I am deeply grateful for our team's hard work and dedication. With that, I will hand things over to our Chief Financial Officer, Brad Garner. We are fortunate to have Brad join flyExclusive, bringing with him extensive experience in public company accounting as well as both public and private equity. Most recently, he served as CFO at Hale Partnership Capital Management. Brad, welcome. We are thrilled to have you on Board.
Brad Garner: Thank you, Jim. I am excited and honored to join such a great organization with a unique set of competitive advantages relative to the industry and a tremendous leadership team. My first two months in the CFO role have confirmed just that and I am increasingly excited about what we know this platform can achieve. With that said, let me provide some context around Jim's characterization of 2024 as a transition year for flyExclusive. I'll start by highlighting the quarter-over-quarter progress we've made against the business plan that we laid out to begin 2024. We began the year with an oversized SG&A footprint from bringing the company public and we had identified cost overruns in parts of our fleet. We took immediate actions across both headwinds and the results have been concrete and durable. In first quarter 2024, we reported an adjusted EBITDA loss of roughly $19 million. In Q2, our reported adjusted EBITDA loss declined to $16 million. And now, our continued execution on our plan resulted in further step function reductions in the loss to just over $10 million this quarter. This consistent quarter-over-quarter improvement is a testament to the progress that we've made on the fleet refresh initiative and effective management of SG&A costs. As we head into 2025, we believe that we're on path to make continued progress on delivering positive adjusted EBITDA and most importantly driving increasingly positive free cash flow. From that foundation, here with what we all believe is the best in industry model, we expect to achieve operating leverage in 2025, especially as we complete the fleet refresh plan and onboard additional Challenger 350s. There's a lot to be excited about in the quarters ahead. With that, let me provide a brief overview of our third quarter results. flyExclusive reported third quarter revenues of roughly $77 million, an increase of 24% year-over-year. That increase was largely driven by a 49% increase in non-GRP flight hours, a 20% growth in our members and a 25% increase in revenue generated from the MRO operation. Revenue generated from the Volato agreement, which was announced at the beginning of September was relatively minimal in the third quarter, but as Jim mentioned previously, it did provide a positive impact to our bottom line of approximately $600,000, as we were able to leverage our platform consistent with what our expectation was when we entered into the agreement. Even with that growth, what remains constant is flyExclusive’s committed discipline in our members per aircraft, which has remained unchanged year-over-year at 9. This number allows us to provide the highest level of service, access, and consistency in quality to our customers. If you'll recall, we believe over time that we've got the capacity to serve as many as 15 members per aircraft without sacrificing our service excellence. And just as important, we continue to operate nearly 100% of our customer flights directly on our fleet. As both Jim and I have noted today, the trends for the demand variables making up revenue were relatively stable as rates remained healthy and utilization was strong. As I move to our costs and profitability, our expectation is for the headwinds and the noise in our results to ease in fourth quarter 2024 and in the first quarter of next year. Specifically, we expect that gross margins will continue to improve as we saw in third quarter as underperforming aircraft are removed from the fleet and we add more efficient Challenger 350s. During the quarter, we continued to make progress towards reducing our SG&A cost. SG&A was approximately $20 million in third quarter, down 7% from second quarter and a decrease of 21% from first quarter 2024. The decrease in SG&A was largely driven by our continued effort in reducing third-party services. Now, while we've achieved significant SG&A cost savings thus far in 2024, we do expect that SG&A will stabilize to some degree in the coming quarters as we get closer to appropriately rightsizing our SG&A footprint. Many of the cost to actions across both operations and support were underway when I assumed a CFO role, but from day one, I've been working side by side with Jim and our other senior executive team members in Matt Lesmeister and Mike Guina on extending our cost efficiency efforts to ensure that we are driving improved profitability at an accelerated rate in 2025. Lastly, before turning the call back to the operator, I'd like to provide some commentary on our balance sheet and cash flow. During third quarter, we completed a $25.5 million preferred stock issuance that supported the expansion of our fleet of Challengers, aided the pay down of both trade and long-term debt, and further supported our business plan. As Jim noted earlier, the fourth quarter is a particularly busy period in private aviation and we expect to generate substantial cash inflows in conjunction with our fractional sale program. We expect to utilize this capital primarily to accelerate the growth in our fleet with profitable aircraft, but also support the business' working capital needs. To close, I'm grateful for the opportunity to be a part of our leadership team alongside Jim, Matt and Mike and to serve our investors, our members, our fractional owners, our customers and our employees. Our third quarter results are evident that our plans to drive ramping profitability and cash flow in the near-term are well underway and the potential to extend that momentum beyond 2025 is very durable. Thank you all for joining, and I look forward to meeting you all soon. Operator?
Operator: [Operator Instructions]
Operator: At this time, it appears there are no questions. This concludes the flyExclusive third quarter 2024 earnings call. Thank you for attending and have a wonderful rest of your day.
Jim Segrave: Thank you.